Michael Marks: Good afternoon, and welcome to VIZIO's Q3 2022 earnings call. I'm Michael Marks, Director of Investor Relations. Joining me for today’s discussion are William Wang, our Founder and CEO; and Adam Townsend, our CFO. Also joining us for the Q&A portion of today’s call is Mike O’Donnell, our Chief Revenue and Strategic Growth Officer. Please note that in addition to our earnings release and today’s remarks, a slide presentation can be found on our Investor Relations website at investors.vizio.com. I’ll refer you to the third slide in the presentation and remind you that certain statements made on this call, including certain statements about our expected fourth quarter results, upcoming product rollouts and functionality and future customer demand for our products are forward-looking statements that involve risks and uncertainties. These risks and uncertainties that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC and our press release that was issued this afternoon. We undertake no obligation to revise any statements to reflect changes that occur after this call, except as required by law. During the call, we also refer to non-GAAP financial measures, including adjusted EBITDA. Reconciliations with the most comparable GAAP measures for non-GAAP financial information discussed on this call can be found in our earnings release or in the Investors section of our website. Note that all quarterly comparisons in today’s remarks will be made on a year-over-year basis unless otherwise specified. Now, I will turn the call over to William.
William Wang: Thank you, Michael, and hello everyone. Thank you for joining us today. An important milestone for VIZIO has always been growth meets discipline. Our third quarter results are a continuing reflection of this, as we grew our Platform+ net revenue by 49% and gross profit by 38%. And our total company adjusted EBITDA came in at $17 million. All of which surpassed the high end of our guidance ranges. And even amongst highly unpredictable market conditions, we continue to maintain a strong and liquid balance sheet with no debt. Since the IOP in early 2021, I am proud that we have continued to successfully execute on our dual business model and deliver consistent performance against our targets and goals. Our experienced and disciplined management team has a track record of successfully navigating through economic cycles in the past. Through the disciplined investment we are making today in our people, our products and our platform, we will be in a great position to reap the benefits as market conditions improve. A few weeks ago, we celebrated 20 years of delivering great product at affordable prices. We continue this tradition with the recent launch of a new collection of Smart TVs and soundbars. For TV, we have invested in a whole range of upgrades and improvements to the consumer experience. We enhanced connectivity through Wi-Fi 6E comparability, improved the speed and performance of our operating systems, extended AMD FreeSync certification for gamers across the fleet, and now includes our VIZIO Voice Remote and Bluetooth headphone support to all of our products. Unlike many of our competitors, we extend most of these quality features all the way down to our entry level model. That's a strong differentiator, especially for the price. And the critics and reviewers are noticing. We are receiving great accolades with many indicating that our new collection delivers, a powerful pumps of great picture quality and high-quality actions all had a great price with the glowing reviews with no surprise that we maintained our position as the number two best in TV in the US for another quarter. On the audio side, our new M series Elevate and All-in-One Sound Bar, complete the home entertainment experience at an incredible value. Credits here are also waiting, particularly of our Dolby Atmos products with many highlighting that one will be hard pressed to find its weaker and more powerful sounding system for the money. We continue to benefit from the success of our dual business model, which gives us the opportunity to invest in these award-winning devices, while also delivering continued growth in platform monetization with the enhanced viewing experiences to our users. With instant access to over 135 streaming services, including fan favors like STARZ, Apple TV+, BET+, Discovery+, Disney+, HBO Max, Hulu, Netflix, Peacock and Prime Video. With no surprise to consumers spend the majority of their time on our TV streaming. We also know a growing way by consumers are interested in consuming free ad supported content and come with little surprise that our WatchFree+ offering remains the number two most free ad support app on our platform. During the quarter, we expanded WatchFree+ with the recent addition of Court TV, HereTV, ION and many more. We also expanded our WatchFree+ AVOD service to improve access to over 6,000 movie TV show titles from partners like Disney, Warner Brothers, Sony Pictures and Lionsgate. This quarter, we'll continue to grow our SmartCast active account base and expand our relevance in the advertising marketplace. Our advertising revenue grew substantially, driven by an expansion in both our ad client viewership and broader presence across multiple categories. During the quarter, we expanded out the right client viewership by 55% versus a year ago, adding 158 net new advertisers. The continued growth is coming from big rents the largest ad categories such as automotive, media entertainment, CPG, quick service restaurants and retail. We also recently announced that we conclude our 2023 upfront negotiations with more than $200 million in direct advertising commitments from agency holding companies. Brands and studios more than double the commitment we achieved last year. With better targeting measurement, advertising occupancy on WatchFree+ as well as higher demand for data coming from advertising and home streaming engagement, there is a runway of opportunities for our Vizio ads business. Other disciplined investments we continue to make in our products, our platform and our people are built around creating true long-term value for our consumers. The benefits are only both hardware and software allow us to continuously push new features and backwards integrate capabilities into TVs. As a result, we'd like to say that the longer a consumer has a video in their homes the better he gets. To further support those push of always making the TV better, we recently unveiled a dedicated developer program, created to optimize and accelerate the onboarding process for new features and content partners. This program is available nationwide and helps connect certified developers and content distributors. They get smart to build apps and experiences for future smart TVs. We are excited to bring the opportunity to the developer market. As revealed, we have created disciplined and measured road maps for new innovations that bring together a great experience for users and our partners alike. The more time consumers spend with this process allows tremendous growth opportunities and our team is continuously working on our pipeline of new features and innovations that further VIZIO ownership experience. As an example, just a few weeks ago, we rolled out a new feature called My Watchlist. This feature allows viewers to add their favorite TV shows and movies on different streaming services into one central location on our platform. My Watchlist makes it easier for viewers to find and access the content they intend to watch quickly and efficiently, while at the same time, adding value for our content partners in their customer acquisition and retention efforts. And due to the backward compatibility of integrated hardware and software structures, we are able to launch this across the fleet with a simple software update bring this new features to our SmartCast TV that are several years old. We look forward to sharing even more with you in the quarters ahead as we continue investing in our users and our partners. With that, I will now turn the call over to Adam to review our third quarter results in more detail.
Adam Townsend: Thanks, William. Before opening the call to questions, I'll take you through our quarterly financial highlights and discuss our outlook for Q4. Starting with the third quarter, total company revenue came in at $435 million. Platform Plus revenue grew 49% to a quarterly record of $128 million and represented a new high of 29% of total company revenue in the quarter. This strong growth was driven by advertising revenue, which rose 47% to $97 million and a step up in data licensing revenue over the year ago period. During the quarter, as William mentioned, we expanded our direct advertising client relationships by 65% versus a year ago, adding more than 158 net new advertisers to our platform. We continue to show growth in our advertiser relationships with a strong repeat customer base. Those relationships continue to broaden, driven by our combination of unique ad experiences and powerful first-party data. Our best-in-class ACR data drives a complete campaign cycle, helping advertisers to plan, target and measure their advertising spend more effectively. Care guard [ph] with the expanding reach of our Ad-Supported Service WatchFree+, and we continue to see rapid growth of monetizable video ad inventory. On top of this, our home screen continues to represent a highly compelling destination for content partners to reach viewers right at the moment they are deciding what to watch. We believe that CTV advertising continues to grow faster than the overall ad market, and our advertising business continues to outpace the growth within CTV. Platform Plus non-advertising revenue grew 55% to $31 million versus the year ago period, again led by growth in data licensing. As viewing trends shift and our audiences segment across different services, our first-party ACR data has been at the forefront of powering products that deliver a better consumer experience and bring greater transparency and scale to CTV measurement. Today, we work with some of the leading management companies such as IFA, Comscore, VideoAmp and Nielsen, who utilize our data to fuel their ad currency products. Turning to our Device segment. Total revenue was $307 million. The year-over-year decline in device revenue was due to a combination of lower smart TV shipments and lower average selling prices, due to more promotion pricing. While these pricing strategies have impacted our average selling price versus the year ago period, they have also had the intended consequence of increasing our competitiveness in the market to improve sell-through volumes, which in turn helped drive growth in our base of SmartCash active accounts for Platform+ monetization opportunities. To that end, we continue to see healthy market share trends where we remain the number two best-selling TV brand in the US during the quarter and on a year-to-date basis. Turning now to gross profit. Total company gross profit was $80 million for the quarter. Platform+ gross profit was a record $79 million, up 38% year-over-year, representing about 99% of the total company's gross profit dollars. Platform+ gross profit margin was a spot 63%Total company adjusted EBITDA for the quarter was $17 million. This better-than-expected result was attributable to more managed growth in SG&A expenses and strong Platform+ gross profit contribution. We are closely managing operating costs, including prioritize and hiring to specific areas that help drive top line growth and overall operating efficiency. We are also looking at offshore and nears-shore opportunities in order to provide incremental engineering support for various growth initiatives in a cost-efficient manner. We remain focused on maintaining our strong balance sheet, which remains highly liquid with no debt. With more attractive interest rates available in the market, we have increased our investments specifically through short-term treasuries in order to improve return on our cash. At quarter end, total cash and equivalents, along with short-term investments, totaled $325 million. Now turning to our key performance metrics, our Q3 results continue to highlight the growing success of our efforts to drive overall monetization across our platform. SmartCast ARPU grew to a record $27.69, up 39% over the year ago period. Our platform monetization continues to benefit and strong demand for home screen advertising inventory and growth in video advertising business, particularly within our Watch trees app, where growth in viewing hours again outpaced overall streaming growth across the platform. Total time spend stream also outpaced all other time spent by our users as measured by a 17% increase in SmartCast hours against an 11% increase in total video hours. User adoption of streaming on our platform continued its upward trajectory, demonstrated by further growth and streaming time spent on a per active account basis. StarCash active accounts grew $500,000 sequentially and $2.2 million year-over-year to a new record $16.6 million. So let me now turn to what we expect for the fourth quarter. The fourth quarter represents our seasonally largest quarter in terms of both device sales and advertising as constant consumption rises during this time. We are working closely with our retail partners to ensure we have competitive and compelling campaigns in the market to move as many units as possible throughout the holidays. We expect Platform+ net revenue to be between $138 million and $142 million, with continued growth in home screen and video advertising as well as growth in data licensing. At the midpoint of the range, Platform+ net revenue of $140 million for the quarter implies growth of 33% year-over-year and a sevenfold increase since we launched our internal sales group, just under three years ago. We expect Q4 Platform+ gross profit to be between $84 million and $87 million, implying continued margins of around 60% at the midpoint of the ranges. And lastly, for total company adjusted EBITDA; we expect to be in the range of $15 million to $19 million. So overall, our Q3 results demonstrate our ongoing focus on steadily growing the business, while maintaining our long-time commitment to efficiency, productivity and discipline. And the growth in our Platform Plus business continues to provide financial and strategic flexibility, which allows us to enhance our market competitiveness on TV sales, particularly during macroeconomic environment that we are currently experiencing. With that, let’s open the call to questions. Operator?
Operator: Thank you. [Operator Instructions]
Michael Marks: Operator, we will take the first question.
Operator: Our first question comes from Laura Martin of Needham. Laura, please go ahead.
Laura Martin: Thank you so much. I'll do both of mine at the same time. So William, can you talk about the developer program, very interesting. Is your business model there taking a share of all revenue earned through that? Is that how it affects the VIZIO profitability or revenue line, or is it some other strategic benefit I'm not thinking about? And then, Adam, for you, you're right. Your cost control in the quarter was outstanding, and therefore, you over-delivered our EBITDA by about $6 million, like 60% in the third quarter. But the guidance for Q4 for EBITDA is quite a bit lower than we had hoped. So I'm curious if your costs are under such good control, what is it that's bringing the EBITDA guidance down in Q4? Are you just being conservative because of the uncertainty in the environment? Thanks guys.
William Wang: Hey Laura, it’s William. Good question. For many years, we've been building the fundamental building block for the developers. And this is certainly exciting time for us. And we'll build our VIZIO account, Bluetooth interactivity, overlay and VIZIO Mobile. We believe we're ready now, along with our 16 million use active audience, I strong believe that it is a good time for us to help certify developers to make some money. And that's we're being -- again, we'll be working so hard to make that happen. So as far as the monetization, Mike, do you want to add to that?
Mike O'Donnell: Yeah. Look -- thanks, William. I think as a distribution platform, we've been investing in laying this foundation or these foundational components to get closer to the app developer community, so that we can encourage them to build new apps for the future TV and engage with our 16.6 million active users. I think we've touched on those foundational components before, but that's better communication to the TV through voice rolled out on every size and model of TV moving forward, continued improvements to our mobile app, notifications and interactivity tools, payment and subscription through VIZIO account, which is truly important and additional ad monetization tools for them. We had a great turnout at the developer conference. We expect to keep engaging with them as we invest in the future. And we expect the business model to run similar to how the business model works today, a cut or a share off of the dollars generated on our platform.
Adam Townsend: Yeah. And Laura on the EBITDA question, you're right. EBITDA in the quarter was really a function of both general expense moderation as well as including a more measured hiring phase, and we would expect those dynamics to continue into the fourth quarter. That said, fourth quarter contains some dynamics and characteristics that are a little bit different than the third quarter. For example, it's the holiday period, and we've got a number of promotion activities going on out in the market to drive sell-through of televisions during the holiday period, which we think will be a benefit to help feed the Platform Plus business. So we've got to be thinking about that. On top of that, the growth mix in the revenue on the Platform side is skewing more towards video in the fourth quarter given consumption trends and demand for our video ad inventory. And that has a little bit of a difference in terms of margin profile. So we wanted to factor those into the guidance considerations. An overlay to that is a general conservatism. There are certainly areas on our business where we have great visibility, and we want to factor that into the guidance, but there's also pockets of uncertainty out there, and we don't want to ignore those. So I think we've tried to find a balance of all of those factors as we thought about the fourth quarter.
Laura Martin: Thank you very much. Very helpful guys. Thanks.
William Wang: Thank you.
Adam Townsend: Thanks.
Michael Marks: Thanks, Laura. Operator, we will take the next question.
Operator: Our next question comes from Nick Zangler of Stephens. Nick the line is yours.
Nick Zangler: Yeah. Congrats on the quarter, guys. Recently, we came across a report that was suggesting you are not a significant seller at Costco. Just hoping you can address the claim of that report?
William Wang: Yeah. So we have a great history with Costco. As a matter of fact, I think '17, '18 years ago, we took the industry by storm together with the support of Costco where we launched our first Vizio branded plasma TV. Costco gave us opportunity to become a Costco brand and super grateful for that partnership. We are, at this time, the number two best selling TV in the brand in -- the TV brand in the USA. And we have many strong retail partners. And also, we earn our way to some of the best shop placement in the industry. And our team is working very hard with support from Costco to gain additional momentum on Costco. We also work closely with other retail partners to maintain a strong position in this soft demand environment. A good example was $499 35-inch offer in summer, a fantastic value for Costco shoppers, 35-inch TV for $499. And we see that as a great opportunity for us, we're even closer with Costco to gain more momentum for years to come.
Adam Townsend: And Nick, it's Adam. I just want to add one other comment there and echo William. Obviously, we very deeply value the relationship with Costco and expect to do more with them down the road. But we've got to do it in the context of a financial model that works well for both companies. And so our team is working on ways to achieve that. And so as we sit here today, we're optimistic that as we look into next year, we would hope to do more business with Costco as we look forward. So it's really an opportunity to grow off this base.
Nick Zangler: Got it. Very helpful. I did want to ask about the upfront. So last year, VIZIO generated $100 million at the upfront. And if you do the math, obviously, it ended up representing about 30% of your advertising revenue over those next 12 months. This year, you doubled that upfront to $200 million I'm curious how we should think about the upfront dollars as a proportion of your total advertising revenues over this next year? Is there any reason to believe that we should see a material shift in that mix over the next 12 months?
Mike O'Donnell: Hey Nick, it's Mike. Look, I'll start with just upfront some comments around the upfront. I think we're pretty happy with where we landed this year. As you know, our growth trajectory is really our third year in the business, right? So the first year was really a test and learn phase with advertisers. Last year, we were very happy with us closing nine figures in upfront commitments. And this year, we're able to double that again. So not only that, we were able to add new brands across multiple categories and not only increase spend, but increased CPMs across those deals, which is great for us. But much like this year, I think the upfront was a good foundational component to building the advertising business, but it's not the only source of advertising dollars. This past year, we showed we've been able to leverage our first-party viewing data to tap into a lot of digital budgets, as more-and-more dollars become available and flowing our digital dollars become available and are flowing into CTV. So, I assume heading into next year, we assume a similar mix, but we're happy with the foundation we have and still think there's even more opportunities to grow on the digital side.
Nick Zangler: Awesome, I'm going to squeeze one more, quick one in here, if you don't mind but just curious if there's been any more incremental wins with the Jump View product? I know you launched it with Fox earlier this year, but just any update on that front. Thanks so much.
Mike O'Donnell: Yeah. Yeah, Jump View has been a good product for us. I think for those, just as a reminder to those on the call, Jump View is, we believe, a great benefit of the hardware/software model or the integrated model. It allows us to recognize when of viewers watching a program and then target and serve them and overlay to that viewer in real time, right? This allows our viewers to seamlessly Jump between HDMI inputs or, for example, as you said, you're watching NBC on linear TV with continue a notification to catch-up on past episodes or watch trailers within Peacock within one click. So a great tool for consumers and also a huge benefit to our content partners. So we've seen material growth in terms of the content partners utilizing it. It's another tool in the bag for us on the media and entertainment side to continue to grow, spend and relationships with those advertisers. And we've seen great success in terms of engagement with the product.
Nick Zangler: Awesome. Thanks a lot guys. Good luck going forward.
Mike O'Donnell: Thanks Nick.
Michael Marks: Operator, will take the next question.
Operator: Our next question comes from Jason Kreyer of Craig-Hallum. Jason, please go ahead.
Unidentified Analyst: Hey, Kyle on here for Jason. First, I just wanted to ask, can you just talk a little bit about -- you kind of touched on this earlier, but how you're balancing growth and profitability here in the more, choppy environment? We've seen some others implement some cost reduction plans. So just curious if there are any more details about what you're doing here to preserve profitability?
Adam Townsend: Yeah. Hey. Thanks, Kyle. This is Adam. Look, I think you used the right word, which is balanced. We obviously see tremendous growth opportunity ahead for where we are and the opportunities that are going to be presenting themselves. We want to make sure we're continuing to invest and create new functions and capabilities that will help us monetize down the road. But at the same time, particularly in this environment, we want to be very mindful of preserving profitability, growing profitability and being able to execute on the overall plan. I think if you look at the quarter results, OpEx, excluding stock-based comp, was up about 7% year-on-year. And the bulk of that increase is really in R&D and marketing, which are two areas that I would view as in that investment cap, which implies that we kept other costs really in check. To that point, SG&A was only up about 1%, pretty flat. And in an environment where you're seeing high single-digit inflation, I think that reflects the discipline and the focus that we've described for you. So we're going to continue to remain focused on that. We think we can find this right balance. A lot of excitement to come down the road. We think we've got a great team in place based on the investments we've made in the last 1.5 years or 2 years to build up teams across the enterprise in engineering, advertising sales, ad tech, corporate support as a public company, in particular. So there's a lot we've done to put us in this position. And now it's a matter of just executing and seeing how we can progress.
Unidentified Analyst: Perfect. And then my last one here. How are you kind of looking at the promotional environment ahead of the holiday season? Are you expecting to get more aggressive here than we saw last year in terms of prices?
William Wang: Yes. Great question. Yes. Look, we fully expect that it's going to be a very competitive environment. It has been for the last several months and quarters and probably using more so into this holiday season. One of the fundamental differences we have going into this holiday season versus last is that we have good supply in the channels. So we've got products out there ready to go. We've launched a number of promotion platform programs already with Sam's, Target and Walmart. We're going to do more as we go through the holiday cycle. And I think that feeds into the overall model that we've been describing for some time that we have this great benefit of a growing platform business that allows us that flexibility to be more aggressive and more competitive on pricing on the hardware side. It's really an important element of our model today. We think it's working really well and delivering a good customer lifetime value and to get ROI on this investment. So -- we're going to be out there in the market. We're going to have some great, great products out there at a great price, and hopefully, one take advantage of those.
Unidentified Analyst: Thank you very much.
William Wang: Thanks, Cahall. Operator, we will take the next question.
Operator: Our next question comes from Michael Morris of Guggenheim. Michael, please go ahead. 
Michael Morris: Thank you. Good afternoon, guys. Two questions. First, I wanted to ask you about the partnership or expanded partnership that was announced with Fox earlier this month. Specifically, part of the press release mentioned having access to Fox's premium inventory, which seems like a very good thing when we're talking about having Tier 1 inventory. So I'd love to hear anything you could share about that agreement and what it sort of means for your progress with other Tier 1 publishers -- that's my first question. And then second, just on VIZIO account, I'm not sure you referenced it, but I know it launched kind of officially during the quarter. I'd love to hear anything you can share about early learnings there uptake, how it's being received? Thanks..
William Wang: Yes, I'll start with -- from Fox perspective, we're pretty excited about the relationship. We've had a great relationship with Fox for a few years now. So continued to expand that across not only Fox News, Fox Nation, but also [indiscernible]. We're starting to add more channels across Fox Sports and Fox Weather into WatchFree plus. So we're excited about that growing relationship. Michael, you know, all content deals that we enter into, we try to find a balance in terms of making sure there's value for both parties. And I think not just with Fox with all our deals, we continue to look for ways in which we can help them grow and build on their footprint within our platform, grow their engagement, but also find monetization opportunities for both parties. 
Adam Townsend: Hi, Michael. It's Adam. And on the Vizio accounts side, yes, we're thrilled to have that launch out in the market. We had a successful launch and success with keep some key launch partners, in particular, Starz as a premium cable coming on to the platform as a result of the fact that we had that building capability and the ability for consumers to manage that subscription right in our platform. So, so far so good, we're pleased with where it's going. We're approaching about 30% of the SVOD apps in the platform that are now enabled within the Vizio accounts, and we'll expect more to be coming on over time. Fundamentally, I think Vizio account is sort of a foundational capability on the platform that will help us, not only in SVOD, but other potential use cases that come down the road in terms of other transactions or other elements. We're going to be looking at ways that we can get people to engage more and ramp up the adoption of Vizio accounts as William talked a little bit about innovation coming, that's an include features that will be a catalyst for people to engage with Vizio accounts. So, so far, so good. We think it really helps with the stickiness of the customer base. We're excited about what it can do for us down the road and stay tuned.
Michael Morris: Thank you for that. Can I just ask one quick follow-up to Mike on the Fox partnership? Where you stand now with the announcement earlier with them? Would you consider this agreement with Fox sort of typical of your agreements with other? Again, I kind of refer them as Tier 1. I think you guys do as well publishers, or is this kind of advancing the sort of depth or breadth of your relationships with not just Fox but sort of peer publishers?
Adam Townsend: Look, I think there's variations in all the deals we have. But I think for the most part, this is -- it’s pretty typical of the types of agreements we have. Fox, like as mentioned before, they've been a great partner for a while. We've had a good relationship in terms of helping both parties grow from a monetization perspective. And the same way we look at most of our partnerships, including Tier 1 partners.
Michael Morris: Great. Thank you, guys. Appreciate it.
Michael Marks: Thanks Mike. Operator, we’ll take the next question.
Operator: Our next question comes from Vasily Karasyov of Cannonball Research. Vasily, please go ahead.
Vasily Karasyov: Thank you. Good afternoon. I wanted to ask you to comment on how the tone of your conversations with the advertisers changed in recent months. Booking windows, what are they indicating to you in terms of their conviction in the holiday season, what ad units are more popular has they changed them out? So anything you're picking up on the change in the tone of the ad market would be appreciated. Thank you.
William Wang: Yes. Look, I think there's no doubt, it's a tough market out there. But if you look at where our ramps coming from, I keep going back to the fact that we're still relatively new in the marketplace, so we've been able to weather the storm pretty well and continue to grow based on expanding our relationships. So I think last quarter, we added 246 new ad partners. This quarter, we're adding -- this quarter, we said we announced another 158 new ad partners. So for us, while it's definitely a tough ad market out there, we've been able to continue to break new advertisers. And we know and we've proven over the past three years, once we get them in, we've had great opportunities across all categories to continue to grow those partners. So, we're focused, like I said, it's tough out there, but we do have great opportunities, especially around our first party viewing data. And that first-party viewing data, we mentioned earlier, there's still a lot of digital dollars available and flowing into TV. And we've long been the leader in targeting and measurement. So, the ability for our sales team to utilize our first-party viewing data has continued to open up a lot of doors for us in the face of a top ad market.
Vasily Karasyov: What about the booking window? Is it short now like represent to develop a tough macro?
Mike O'Donnell: In terms of the booking window, I don't know if it's necessarily shorter. I think -- like I said, I think it depends on what budgets you're tapping into. I think from a digital perspective, it's typically a shorter window on that front. So, as we continue to tap into those dollars, I think we'll continue to be successful.
Vasily Karasyov: Thank you.
Michael Marks: Thanks Vasily. Operator, we will take the next question.
Operator: Our next question comes from Wamsi Mohan of Bank of America. Wamsi, please go ahead.
Wamsi Mohan: Yes. Thank you. William, we've had two tough years for TV units declining quite significantly over 2021 and 2022, any early thoughts on how you expect TV units to progress here in 2023? And I have a follow-up.
William Wang: Well, 2022 has been tough. And we see the soft demand since the beginning of this year. And I do believe 2023 is going to be a little bit better. We don't believe it's going to be tremendously better like last year, the year before. But we'll see how that goes this holiday season. And -- we hope the markets get better, but we're not -- we're not extremely optimistic at this particular time. Adam, do you want to add to that?
Adam Townsend: Yes, I can add a little bit. I think we pointed off back to our brand as a strong value brand, certainly in these kinds of environments, we do -- on a relative basis do quite well in these environments. We've gained -- share moved up from three to the number two selling brand in the country as the year has progressed. And so from that standpoint, I think we can differentiate ourselves out there, be a great product for the consumer, and we've been encouraged actually by the response we've seen to some of our promotions this year. When we've gotten aggressive on pricing, consumers have really reactive and that stimulated demand and that's increased sell-through of our products in the marketplace. So, those tactics are things we're going to be looking at in a challenging environment and we would hope to be able to see similar response and hopefully, expand our onshore capabilities as the year progresses next year.
William Wang: Yes. Wamsi, we've been a value-back [ph] all these years and I don't -- I believe this is a good time for us to capture this market share. And with our dual revenue business model, I think you can give us more of that advantage next year. So, we're pretty optimistic regarding cash and additional market share even though the economy is still soft.
Wamsi Mohan: Okay, thanks William. And Adam, if I could follow-up, can you -- you obviously had very strong ARPU trends in the quarter. Can you talk about the sustainability of your ARPU and maybe in the context of sort of some of the initiatives you have taken on the WatchFree+ side?
Adam Townsend: Yes. Look, technically we believe there's a significant continued headroom for ARPU growth. ARPU growth for us comes across a variety of factors, right? It starts with having a great user experience and we've invested in engineering capabilities to improve our home screen, the user experience, the speed of the operating system, and that obviously gives a better user experience, which drives more engagement and more engagement means more opportunities to monetize. On top of that, we spent a lot of time bringing in and sourcing content that we think our viewers want to increase the probability that they're going to stay engaged on the platform, again, driving opportunities for monetization. We use our data to help inform us around that to increase that probability. And so when you bring all of these efforts together in areas that we've really been investing in and growing our capabilities and getting more sophisticated over the last couple of years that's coming together now and really sort of materializing into a good growth trajectory in ARPU. So it is a key focus for the company. It's a key target goal that we have to grow ARPU and all the resources and organization are really focused on that. So we're optimistic there's plenty of room in the market for us.
Q – Wamsi Mohan: Okay, great. Thank you.
Michael Marks: Thanks, Wamsi. Operator, we’ll take the next question.
Operator: Next question comes from Steven Cahall of Wells Fargo. Steven, please go ahead. 
Steven Cahall: Thanks. Maybe first, could you just speak a little bit to what the opportunity looks like as Netflix and Disney+ introduce advertising and Netflix has certainly been one that we've historically thought of as not sharing much with the connected TV world. I think Disney and Hulu have been a bit more sort of standard within your Tier 1 providers. So as we do start to see a lot more maybe ad flow going into those, what is -- without getting into specific terms, what does that mean for VIZIO. And then I have a quick follow-up on the upfronts.
Mike O'Donnell: Hi, Steve, it's Mike. Yes. Look, we're not going to comment specifically on Netflix or Disney. But what we can say is I think we're pretty excited about them coming into the market on the ad-supported side. If you look at our platform, we have a -- we have a consumer base that has an appetite for ad-supported content. So from our perspective, as a distribution platform, anything that's going to accelerate or drive more engagement to the platform, is ultimately going to lead to more monetization tools or monetization opportunities for us in the future. I think also from an overall market perspective, I think it's going to help lift the overall connected TV ad market. I mean today, more than 50% of the time we see on our own platform is spent streaming, but what is it only about a little over 20% of the ad dollars are flowing in -- we think this is – is going to be a huge benefit and ultimately help as more eyeballs come in ultimately help more ad dollars drive into the fold and will be a huge beneficiary of that.
Steven Cahall: Great. And then maybe just a bit more on the upfront. So when Roku recently reported, they talked about their upfront commitments as well. But when we kind of look at the numbers, it just seems like that those don't necessarily protect at least their advertising revenue from downside when the market is weaker or pricing is weaker. And that's maybe in contrast to the linear TV network upfronts, where the dollars tend to be very firm. The commitments are usually on a quarterly basis or even tighter, so when we think about your $200 million in commitments from agencies and marketers, I guess can you comment at all about kind of how locked in that is? And what those commitments really represent? Thank you.
Mike O'Donnell: Yes. I think for us, at least we've seen in the past year, we've been able to hold pretty firm with the relationships we have. I think a lot of it ties into our ability, even with the upfront commitments at agencies and some of these brands, we've brought a lot of new brands in across multiple categories. And I think when we look at the overall agencies -- there's still a lot more brands for us to bring into the fold for them to deliver against the upfront commitments they have. So there's always risk in upfront commitments, especially as the market tightens. But as I mentioned earlier, I think we saw it this year, and I think we're expecting it next year, we had a lot of opportunities to expand our advertising business, specifically on the video side beyond just the upfronts, right? We're continuing to tap into more and more digital budgets, leveraging our first-party viewing data, right? Our ability to continue to find audiences, target audiences, measure them and ultimately deliver incrementality for our advertising partners. I think, we're well positioned heading into next year.
Steven Cahall: Great. Thank you.
Michael Marks: Thanks, Steve. Operator, we will take the next question.
Operator: Our next question comes from Tom Champion of Piper Sandler. Tom, the line is yours.
Tom Champion: Great. Thanks, very much and good afternoon. Adam, I'm wondering, if you could just elaborate a little bit on the comments around offshore and nearshore opportunities to expand engineering? And then Mike O’Donnell, maybe a question for you. Hopefully, this isn't too duplicative. But as you think about the total ad market heading into '23 and maybe looking beyond, say, the next 90 days and what's kind of right in front of us. I'm just kind of curious, what your thought is on the market next year in totality based on what you see today? And more relevantly, I guess, does that market rate of growth matter for VIZIO, Historically, you've been at a scale where you could just grow consistently and grow right through any headwinds in the market? Are you at a size now where the market rate of growth really matters? Any thoughts on that would be really helpful.
Adam Townsend: Sure, Tom. It's Adam. I'll take the first one. Look, if you look at the ramp-up we've done over the last couple of years in our engineering team, it's almost entirely been domestic hiring, which is has served us well, and we've executed all the way we've seen what we brought to market. And so, we're pleased with our domestic engineering team. But as we look forward, we want to make sure we're getting the right efficiencies and the right scale out of potential partners that could be offshore solution providers. So there's areas where we're going to be expanding and developing particular capabilities for the TV, where we may be able to just leverage partners efficiency much better than ourselves. So it's really a combination of finding that right mix and right balance between how large would the team be domestically? And then how much do we put into an offshore or nearshore solution for ourselves. So, it all feeds back into speed, time, efficiency and quality, so balancing those factors together.
Mike O'Donnell: Yes Tom, and I'll jump in. I think heading into next year, there's obviously a lot of uncertainty in the ad market in 2023. And I think it's going to be tough to predict, but -- or give you a prediction from our standpoint on the overall market. But in terms of Video itself, I think we still got a lot of room to grow. And I think we've shown that. And I think we -- that growth trajectory is still well positioned for next year. We continue to expand WatchFree+, it's the number two free ad-supported app on our platform. We continue to grow the viewership there. That's driven more monetization opportunities as we get deeper with brands and agencies on the owned and operated side. I've already touched on more addressable and digital opportunities for us. We think that will continue to expand heading into next year. And again, as I touched on, I think there's still a lot of opportunities for us to continue to add to the advertiser base. We have room to grow and I believe there will be more dollars pushed into Connected TV or the growth trajectory in Connected TV will continue to be there heading into 2023.
Tom Champion: Got it. Thanks a lot, guys.
William Wang: Thanks, Tom.
Adam Townsend: Thank you, Tom. Operator, we have time for one more question.
Operator: Our final question comes from Jim Goss of Barrington Research. Jim, please go ahead.
Jim Goss: Okay. Thank you very much. Adam, you started talking about some of the contributors to the ARPU gains. And I was wondering if you could further unpack the latest quarter, more specifically, it was up 39%. And I think one of the contributors was the 17% increase in the SmartCast hours but perhaps there are other things you may identify as the key contributors. And then the other question I have is reminding me of the -- if the total Vizio sets or your TAM. What are the share of sets are you currently monetizing? And are there any trends you can identify between the various home screen elements between the couple of types of banners and the third-party apps and the SmartCast plus that are trends in those relative to one another in terms of the key contributors.
Adam Townsend: Yes. Sure, Jim. Look, for the first part of your question, in terms of ARPU, I would highlight two particular areas that are key contributors to our continued success there. And the first is WatchFree+. We're continuing to see great growth in engagement in WatchFree+. WatchFree+ usage is outpacing all other streaming growth on our platform, and that is the destination on the platform where we monetize the most effectively. That's where we have the biggest control of the ad inventory. That's where we can use all the resources we have, including our data to maximize and optimize monetization of that time spent. So the flywheel of getting more users on the platform. Having spent more time streaming and not only more time streaming but streaming in the right places, particularly in WatchFree+, I just mentioned. So that is really a key contributor to this, and we're going to continue to source more content, bring more onto that platform, use our home screen as a promotion vehicle to drive user engagement into WatchFree+. All that feeds into it and that’s just grow ARPU more. The other piece to it that I highlight for this quarter is our growth in our data. We did a great deal with Nielsen earlier in the year. We've got some other renewals that have come into the mix. We're growing our data business. Our data is becoming more valuable in the marketplace. And that is a -- a point to that as a non-advertising source of additional ARPU that people shouldn't forget. There's multiple contributors to our total ARPU. And so, data is a really important part of that as well. So I think those two together are really helping the ARPU in the quarter and into next year. Mike, do you want to talk about the -- did you have another question on that.
Mike O'Donnell: Yes, Jim, I forgot. You said -- in terms -- I want to highlight that when we talk about our active accounts, we're only talking about those on units that qualify for that active definition, which is, they're connected to the Internet and they're turned on in the month. The user does that. That's what -- so when we talk about our monetization, it's really against that installed base. There could be units out in the market that are being used for other use cases. They may not meet our definition in a particular period as an active account. And so, therefore, obviously, monetization is very different for those units. So you look at our economics and what we're putting up in the results we're showing, it is tied to that base of active accounts, which we disclose quarterly. And the $16.5 million is where we are today growing off this base.
Adam Townsend: Yes. And I can add, just in terms of additional trends in growth -- sorry, do you have a -- 
Jim Goss: No, no, no. I guess, I was trying to just distinguish between them.
Adam Townsend: Yes. Okay. Yes. Just in terms of additional trends and growth, I think from a category standpoint, we're still seeing media and entertainment as the largest category in terms of growth opportunity for us, or in terms of today, in terms of which we're generating revenue off of. But we see significant growth opportunities in what we consider the general market side of the business. And we've continued to add more and more advertisers in this fold and we've done that through not only -- as I mentioned before, not only through additional video solutions and video is our fastest-growing product on the advertising side. But not only through video, through WatchFree+, but also through leveraging our first-party data and driving more opportunities on our home screen. I think this quarter, again, we saw more what we consider non-endemic or non-media and entertainment partners take advantage of our home screen in terms of sponsorships and promotional opportunities to drive more advertising dollars, but also engage with our customers more by providing them with content that they may want to use. So as we expand kind of the product set, in which we're engaging the general market side of the business with, we'll continue to see growth, not only in video, but also, I believe, on the home screen side.
Jim Goss: All right. Thanks so much. 
Michael Marks: Thanks, Jim, and thanks, everyone, for joining. This concludes today's call. Have a great evening.
Operator: Thank you for joining.